Operator: Ladies and gentlemen, welcome to Techtronic Industries 2022 Interim Results Announcement Analyst and Investor Webcast. In this interim results webcast, TTI will share the updated performance for the six months ended the 30th of June 2022.  Before we begin, let me introduce to you the key management of TTI with us today. They are Mr. Horst Pudwill, Group Chairman; Mr. Joe Galli, our CEO; Mr. Frank Chan, our CFO. Mr. Horst Pudwill will first give us an opening remark. Then Mr. Frank Chan will walk us through the first half year financial results, followed by the business overview and strategy by Mr. Joe Galli.  Without further ado, let me pass the time to our chairman for the opening remark. Mr. Pudwill, please.
Horst Pudwill: Thank you for attending TTI's 2022 interim results announcement. Given the continued public health concern and requirements of social distancing, we are presenting our interim result announcement via webcast.  I'm pleased to announce that TTI delivered strong results for the first half of 2022, outpacing the market and growing sales by over 10% to $7 billion plus, increasing EBIT by 10.7% for the period as we continue to deliver gross margin improvements, with an increase of 50 basis point from 38.6% to 39.1%.  I'm delighted that all our geographic regions delivered solid sales growth in the first half. It reflects our market leadership position and skilled management in the face of changing macroeconomic conditions. Our world class management team is navigating the shifting in demand and continues to drive the results that outperform the market.  Notable, our industry business, MILWAUKEE continues to be the main driver. We are very positioned to continue and strengthen our leadership position in the months and years to come.  Frank Chan, our Group CFO, will now provide you with the 2022 first half financial overview and Joe Galli, our Group CEO, will cover the overall business and strategy. I will now hand you over to Frank Chan and Joe Galli for the presentation. Thank you.
Frank Chi Chung Chan : Thank you, Mr. Chairman. TTI delivered another set of strong results with organic sales growth of 10% to $7 billion for the first half of 2022, outperforming the market. Excluding the currency impact on translation, our sales grew by 12.1% in local currency. Our full year revenue in 2018 was at $7 billion and we managed to deliver the same in the first six months of 2022.  When we combined our sales growth with the sales growth in 2021, our revenue grew by 67% with both EBIT and net profit increased by 74%, respectively, over the two years period. Our growth mainly driven by our continuous stream of new innovative cordless products, category expansion, operational excellence and strong commercial execution.  Gross profits increased by 11% to $2.7 billion, with gross margin increased for the 14th consecutive period by 50 basis points to 39.1%. The improvement was a direct result of continuous flow of high margin innovative products, productivity gains, and very focused cost control, creating high level of cost efficiencies across all operations.  EBIT increased by 10.7% to $633 million with margin increased by 10 basis points to 9%. Net profit increased by 10.4% to $578 million with margin comparable to same period last year. Both EBIT and net profit increase outperformed sales growth, which is one of our key financial objective. Earnings per share increased by 10.4% to approximately $0.316 per share.  The board declared an interim dividend of HK$0.95 per share, an increase of 11.8% over last year, the 13th consecutive period of increase and a CAGR of over 30% over the past 14 first half periods. Payout ratio was at 38.8% as compared to 38.3% last year.  As mentioned, one of our key performance metrics has always been EBIT and net profit increase must outperform sales growth. We've continued to deliver this target first half 2022. Over the 14 period under review, sales CAGR was at 13% while our EBIT and net profit delivered a compound annual growth rate of 19% and 25% respectively. Power Equipment division, accounting for 93.3% of the group's revenue, increased by 12.8% or 14.9% in local currency to $6.6 billion. Our flagship MILWAUKEE, now accounting for 58% of the group's revenue, continued to be the main growth driver and grew 25.8% in local currency. Our Consumer Power Tools business also delivered strong results, while our Outdoor business, despite the challenging environment, outperformed the overall market.  Operating profits of this division increased by 14.4% with a 10 basis points margin improvement to 9.8%.  Floorcare and Cleaning business accounting for the balance 6.7% of the group's revenue declined by 16.4% in local currency to $472 million. The business was impacted by a reduction in COVID-related demands. This division delivered an operating loss of $13.3 million. We remain committed to this business and have taken various aggressive actions to improve their performance going forward.  All regions delivered revenue growth. North America, accounting for 76.7% of the group's revenue, delivered a 10.5% increase. Power Equipment grew 13.3% in this region. EMEA, accounting for 15.3% of the group's revenue, increased by 14.1% in local currency, with Power Equipment increased by 18.2%. Rest of the World, led by Australia and Asia, increased by 23% in local currency, with the growth mainly driven by Power Equipment. SG&A as a percentage to sales, was 30.2% as compared to 29.7% same period last year, as we continue to invest in R&D and strategic selling and distribution expenses to maintain growth momentum and margin improvements. We've also been able to leverage our volume increase and delivered savings on strategic SG&A.  R&D spend increased by 23 basis points to 3.3% of sales. We firmly believe continuous flow of new innovative products remain to be our cornerstone to our past and future success, and we'll continue to invest in breakthrough cordless technology and introduction of new cordless products.  Net finance costs remain low despite higher level of borrowings and rate increases, only account for 0.16% of revenue. We will continue to leverage our balance sheet and business volume to deliver cost efficient finance costs and to improve our financial performance.  Effective tax rates remained comparable to last year at 7%. We are fully aware of the ever-changing global tax rules and developments and been proactively fine tuning and improving our tax structures and plans and, therefore, believe we will be able to continue to deliver this level of effective tax rates going forward.  Our balance sheet remains healthy and strong, with net current assets increased by 15%. to $2.7 billion. Shareholders' equities increased by 18.4% to now over $5 billion.  As at June 30, 2022, our gearing was at 14.5% as compared to 14.8% same period last year. The increase was mainly due to our increase in working capital to support sales growth, to mitigate global supply chain challenges, together with our CapEx spend, to further strengthen our productivity and capacity. However, we've demonstrated that we have the capability and proven track record to improve the gearing from the most challenging period in 2008 of 95.3% to basically net cash position within 10 years. The total working capital as a percentage to sales was at 23.3% as compared to 18.3% same period last year. The increase was due to our decision to carry higher level of strategic raw materials and components to protect against shortages, increase in supply chain lead time  to maintain high service levels to customers.  Raw material inventory grew 6 days to 20 days while our finished goods inventory reduced it by 3 days when compared to first half of 2021. We are targeting additional reductions in the second half of this year.  Receivable days improved by 2 days to 54 days. We have taken a very prudent approach to our procurement starting from Q2 of 2022, considering the shifting demand environment and our push to reduce inventory, resulting in a lower level of payables as of June 30, 2022  reduction in payable days as compared to the same period last year.  CapEx spent for the first half was at $229 million, lower than that of last year same period by 6.4%. We will continue to invest diligently in new products, sustainability and capacity expansion and the best optimal locations for future growth.  When compared to the debt level at end of 2021, our total net debt increased it by $711 million. The increase was mainly due to the increase in working capital and CapEx spend 1`during the six months period.  We have continued to maintain a healthy profile of 40% long term, 60% short term debt, with 63% in floating rate to capture the current still low cost environment and 37% in fixed rates to support our long term investments. We will constantly review our portfolio and opportunities to optimize our debt structure that best support our future growth.  And now, I would like to pass the presentation to our CEO, Mr. Joe Galli.
Joseph Galli Jr : Winston Churchill famously said a pessimist sees the difficulty in every opportunity, while the optimist sees the opportunity in every difficulty. And I can tell you at TTI, we have never seen more opportunity than we see today. With the macroeconomic backdrop that we are all challenged with here in 2022 and beyond, we see vast potential to capture more market share to outgrow our competitors and to continue to disrupt the most important parts of the global power tool market, namely cordless.  Now, there's a general manager of the NBA champion Golden State Warriors named Bob Myers, who two years ago when his team was basically in last place in the NBA, he said my job is to think about the future even when the present is on fire. And this is how we feel at TTI.  We know the world is challenging today. But that in no way shape or form is going to inhibit us from achieving our long term goals. And you will see with our fantastic results in the first half that that's becoming apparent here as we as we continue to roll out our leadership strategy.  We did grow 10% In the first half. That's 10%. It's 12 and change if you look at local currency. So, we significantly outgrew the market. And then when you look at our 10% growth relative to the last three years, it really says a lot about how our team has been able to deliver and continue to catalyze growth in all sorts of environments.  So back in 2019, we grew 8.7%. We did in the first half, $3.7 billion, and then we're up 12.8% and 52 last year and on top of that 10% up to a cool $7 billion for 2022. So we're very proud of this progress. But there's still a lot of potential for us to continue to outperform the marketplace.  As we look at the full year. We are a conservatively looking at a mid-single digit growth level for the full year for 2022. Yes, there's a lot of macro challenges. Weather has never been worse, but we're still going to grow a solid mid-single digit this year. And most importantly, we're setting the stage for a fantastic 2023, 2024, 2025 run, where we can really pounce on the economic environment and the competitive environment that we're in and achieve even higher levels of leadership, market share positions in the global marketplace.  So, in the first half, our Power Equipment business, the non-floorcare part of our company which is 93%, grew 14.9%. 14.9%. The floorcare business was down 16.4%. Why? Because floorcare was catalyzed by the virus lockdown phase for about two years, consumers bought a lot of vacuum cleaners. When virus fatigue kicked in, vacuum cleaners are one of those categories, not unlike barbeque grills, that stopped selling at the frenzied level of the height of the virus. And so, that's why we're down 16.4%.  However, we have not only a great plan for our Power Equipment business long term, but actually our floorcare businesses is developing a series of leadership products that will be very cool and very helpful to grow that business in the months and years to come.  So first half, we delivered exactly on our financial model, which we've discussed for the last decade. So, sales are up 10%, gross margin up 50 basis points. That's exactly 50 basis points again. We invested a lot of that back in strategic SG&A, largely electrical engineers, software development engineers, geographic expansion, increased marketing and sales coverage, to grow our businesses, largely MILWAUKEE.  So, EBIT was up 10.7% on sales growth of 10%. And once again, we outperformed the market and we delivered good progress in the key financial metrics that we focus on here at TTI.  Now let's step back for a second. Gross margin finished the first half at 39.1%, which is up 50 basis points. And we have to remember that we're in an environment where many companies are talking about inflation and ocean freight rates that are double, triple, quadruple what they were even two years ago. And somehow we still would â taking the same exact commodity environment, inflation environment, ocean freight environment that all of our competitors have, we delivered a 39.1% gross margin, and we're very proud of this.  Now, why are we able to achieve this? Because, first of all, our MILWAUKEE business is highly accretive and MILWAUKEE outgrows the rest of the company. So, we automatically get a mixed benefit every time MILWAUKEE outgrows the rest of the company, which it has done, it will continue to do.  Secondly, the aftermarket for batteries is the benefit of being obsessively focused on cordless. Because we are in a commanding leadership position in cordless, and I'll explain this more as we go, that aftermarket batteries there, which has a highly accretive gross margin, it will continue to drive gross margin up to higher and higher levels.  So let's look back. For the last 14 years, we have been able to improve gross margin on average 50 basis points here. This is for 14 years. So this is not a one-time thing. This is a trend. This is a way of life at TTI. We don't make excuses about gross margin. We don't talk about inflation. We don't talk about all the other issues that the world faces. We just talk about how we will continue to drive gross margin up.  In addition, in MILWAUKEE, mix growth in batteries, you have to remember every new product that we launch has an accretive gross margin versus products that these things will cannibalize. So the new product flow is another element of our gross margin, continued ongoing success.  Now let's step back for a second. When I joined the company in 2006, Horst Pudwill and I, our Chairman, we sat down and we agreed on four strategic mandates, strategic imperatives that would guide the way we run our company. And if you remember back in â this hasn't changed it since 2006. We're talking about powerful brands, innovative products, the world's best people, and importantly, operational excellence.  Now, we haven't talked a lot about operational excellence in the last several years. But it's appropriate to focus on this a moment now because the slowdown in the macroeconomic environment really mandates to achieve outstanding performance, mandates operational excellence in every facet of the company. And we have a lot of examples of this. So operational excellence includes things like service levels to our customers. We are shipping without question the highest levels of service to our major customers, like Home Depot, Bunnings, and the other customers around the world.  Why do we do that? Because our commitment to operational excellence is unrivaled in this industry. We also are obsessed with quality. You don't see the recalls and return issues from TTI because we are hyper focused on making sure that the products we launch are safe, that they are work, that there's minimal returns and people are thrilled with the performance of our products.  A great example of operational excellence is in our â you can see in our discipline SKU management process. So every year â we've been doing this for a decade. Every year, every quarter, we sit down in our output interviews with every business unit, and the president level executives in these units have to cover their SKU progress plans and status. So, for example, a president will say how many SKUs they have at the start of the quarter, how many they plan to add that quarter, how many they plan to discontinue, and what's the new net total.  Now, we've been doing this for a decade. So we don't have to have a massive SKU cleanup process in the company because we do this every quarter. That's why we have no obsolete inventory. If we discontinue an item â and we are ruthless about this. So, if an item no longer makes sense, strategically, we will just continue it and we move the inventory immediately. So our inventory is actually as pure and blue chip as it's ever been, because we've been focused on this operational excellence element, as I said, the last decade.  If you look at our inventory in the first half, we were very pleased that we actually cut the days of inventory in place for finished goods. We actually cut it. It's still higher than it will be in a year and in two years. But we made good progress. At the same time, I was really pleased that we were able to stockpile critical components like battery cells or semiconductors, and some of the other scarce materials that have been elusive for many companies to acquire over the last few years. We've stockpiled. We added three days of inventory of raw materials and components. We added a day on WIP.  And the bottom line is, actually, I wish we could have added more strategic component inventory in the first half. Because these are the things that will ensure that, as we outgrow the market and as we capture market share, we'll still be able to deliver outstanding service levels to our customers and not have to go through out of stock or shortages in shipments that really do force customers to look at other competitors, if you can't deliver. In the first half, we also managed our CapEx spending in a very disciplined way. We haven't shortchanged any long term investment that we deem is essential. Most of our CapEx revolves around new product development or automation and manufacturing productivity. And some of the necessary expansion because our growth has been so outstanding over the last five years and will continue to be the next five.  So we spent $229 million in CapEx in the first half, which was 3.3% of sales, down from last year's 3.8%. And we think that was prudent. And again, we have not shortchanged any of our key projects for the future.  In terms of cash flow, yeah, last year, we consumed cash, $1 billion for the full year. Or I should say, reported at the end of the year. In the first half this year, we consume $200 million of cash. And in the back half, we will deliver excellent positive cash flow. And we intend to be positive cash flow as we go forward.  There's a lot of reasons for that. And operational excellence is at the center of our cash flow management. So we invested heavily when we should have invested in a year where we grew like crazy. But that doesn't mean we're not incredibly disciplined and rigorous about managing cash flow. And you will see that in the second half and in the years to come.  Okay, let's shift gears and talk about MILWAUKEE. And I should just leave this slide up for a while and ask you to stare at this because we grew 26% in the first half in MILWAUKEE. Can you imagine that? I get questions every day from investors, from analysts who say, Oh, my goodness, Joe, what about the macroeconomic environment? Do you think MILWAUKEE might slow down? Are you worried? And the answer is, look, we can't control the macroeconomic environment. I'm not worried at all. In fact, last week, we had our best point of sale results in the US that we've seen all year in MILWAUKEE. We're in the dark days of August here and half the country is in a drought, the other half is in a flood. This is US business. And we had extraordinarily good point of sale results last week.  And I can tell you the same thing about our Canadian business for MILWAUKEE, our European theater is growing at 20% rates. And our Asia and Australia business is also doing well. So, up 26% in the first half. We grew North America 25% and actually Canada and Mexico outgrew the US. All added up to 25%.  But we need to understand. We are not a US centric company. We are expanding globally. Europe was up 23% in spite of all the issues over in Europe, 23% in MILWAUKEE, and the rest of the world which for us is Australia, New Zealand and Asia, largely those two arenas, we were up 35%. We have grown Milwaukee 20% a year since 2010. Now, let's go back. 2010, we did about $600 million in MILWAUKEE sales globally. $600 million. And this year, we expect to grow 20% for the year. That's as a minimum. I think we can do better than that. But let's say we're planning on 20%. And so, we'll be over $8 billion in sales. From $600 million to $8 billion in sales.  So, there are questions about, are we taking market share, what's our position, I think this chart makes it crystal clear that we have captured massive amounts of market share in the global industrial tool market. And our focus is strictly on cordless in this market. And you can see the results speak for themselves.  In terms, as I mentioned earlier, our gross margin continues to go up in the company and a big driver for that is that MILWAUKEE has gone from 19% of our company's overall sales to 58% projected this year. 58%. So, every year that MILWAUKEE grows at a faster rate than the company, we automatically get a mix benefit.  And although we are excited about all parts of our company, all the consumer businesses, the DIY businesses, I can tell you the next five years, MILWAUKEE will continue to outgrow the rest of the company. And this mix enrichment accretion will continue.  Now, we need to share with you the commanding â really unassailable leadership position that we've achieved in the parts of the global power tool market that matter. MILWAUKEE is now number one in the world in professional industrial cordless power tools. Number one.  Now, there's a lot of ways to look at market share. And other companies may look at overall power tool market, which is preposterously stupid because that would be like Steve Jobs launching iPhone and putting that in a market that include payphones and carrier pigeons and teletype machines and fax machines. We don't do that. We don't look at corded tools or gas or pneumatic or hydraulic. What we look at is strictly cordless. That's the only market that matters to us. These other markets won't exist, they'll be extinct. And, yes, we're number one in the world in MILWAUKEE cordless, and that leadership position is about to achieve an even higher level of market share here as we unveil our latest new products that we're going to launch in the back half and throughout 2023.  Now let's make this clear. We're not only number one in total, but we're number one in the three professional industrial cordless markets that matter around the world. So, M12 is our subcompact series of MILWAUKEE cordless. We have incredible commanding leadership position in subcompact tools. That's going to continue. M18 is full sized cordless. This is the largest category of industrial grade cordless. We're number one here, globally. And we are the only company that's in the light equipment cordless business called MX. So, the MX FUEL range is attacking the market. That's all petrol or pneumatic or AC today. And again, we're first and we're disrupting here. And we're number one in the world in cordless as light equipment. Why are we number one? Because for a decade, we've been obsessively, maniacally focused on rolling out a myriad of new products that harvest the benefit of our advanced technology, our software development engineering. So, we now have 144 leadership products in subcompact, we have 259 in the full size M18 range and 13 already in the lead equipment business. And those numbers will double in the next three years based on the plans we have today. We are going to relentlessly attack and build out these platforms and, again, build ourselves into an even more commanding leadership position.  Now a major driver for our market share leadership in cordless has been our focus on next generation core drill drivers and impact drivers. So much like iPhone and Apple, we are always working on future generations of the bestselling drill driver, impact driver, which are which is the highest volume tools in the product range.  In 2013, we launched our first MILWAUKEE fuel drill drivers. They were a revolutionary breakthrough in terms of performance. We uniquely choreographed battery charger, controls and motor into a product that vastly outperformed the existing cordless products on the market in 2013. The next gen, we launched in 2015, followed by a next gen in 2018 and now we're about to roll out â in fact, we started shipping last week, our generation 4 drill driver range in the MILWAUKEE series. Now, what is a new generation to us? Our obsession, our mandate is that every next generation will be significantly better than the generation that replaces, which means the new generations would be more powerful, have longer runtime, be faster to charge, run cooler, make less noise, have more features, and be lighter weight. And that obsessive focus of making these tools continuously better is keeping us far ahead of competition in the parts of the power tool market that matter, which is high end cordless.  So this fourth gen drill driver is amazing. So, this is so much lighter than the first gens, but the power, the features are extraordinary on this unit. And importantly, we have rolled out the first ever power tool with machine learning. That was an element of the design of this product.  So how machine learning works here is we collected thousands and thousands of data points about when a tool encounters an obstruction, maybe it's a knot or maybe it's a different kind of obstruction. And tools today automatically shut down when they encounter that kind of resistance. There's a highly frustrating shutdown mode, auto stop mode on tools. And users hate this, users want to be safe, but they don't want to be safe when there's no need for the drill to shut down and they have to start the project over.  So, what this machine learning has allowed us to do is create an algorithm that is built into this unit in the software on board. And it tells the unit when a sudden event is something that should â is not an issue versus a sudden event where the drill does need to shut down. So we keep our users even safer, but without the irritating frustration of this of these shutdowns in the case of an unnecessary event.  So, anyhow, the machine learning â and by the way, we are so far ahead of the industry in AI and machine learning and adapting these algorithms to making our tools even more user friendly, even safer, even more productive while they become lighter, more powerful and have extended runtime.  We also will roll out our fourth generation M18 full size impact driver. These impact drivers, like the drill drivers, are incredible tools. When you pick it up, you can't believe the weight and how compact it is. And when you turn it on, the power just blows you away. And so, we were already well ahead of our competitive set in these two blue chip categories, impact driver drill driving, and now we've taken another massive leap forward. And this will allow us to achieve even higher levels of market share here in the months and years to come. Okay. So, we're not only launching next gen products, but we're still pioneering cordless products that are breakthroughs in many key industrial applications. For example, this product is called a utility fencer, a utility stapler. And it's used by power utility operators to fasten wires, other things, to telephone poles or various elements of the grid here in the US. There is no other battery powered cordless nailer that can remotely compete with this unit today. It is better than the pneumatic units, the gas cartridge units, and we think the utility industry will flock to buying this new product.  We also are now rolling out our first MILWAUKEE plunge saw. Plunge saw is an incredibly accurate, safe way to rip large sheets of plywood or other materials without having to use a table saw or without having to use other types of tools. So, our unit is cordless, it outperforms â the cordless units on the market today are inferior to this MILWAUKEE technology, and the feedback on this thing has been outstanding. We're going to sell a lot of these.  We now also are launching in the second half, the world's best top handle battery powered cordless chainsaw. This unit not only blows away the other cordless chainsaws that you'll see in the market, but it also cuts the petrol chainsaws. And it's so much more quiet and easier to use. We think this will see a real shift in this top handle market to â finally to battery chainsaws.  Our M18 platform again is â as of now, we are number one in the world of market share on full size cordless, and that number one position will only get better with the products we're rolling out today and here in the second half.  Now our subcompact series called M12 is also going to get a jolt here in terms of future growth because you're watching our third generation drill driver, impact driver in subcompact. And let me tell you, the third generation â the first generation we launched achieved global market share leadership position in subcompact. The second gen gave us even more of a boost. But this unit we're rolling out now is amazing. 30% better power life runtime, weight, features, etc. And you look at the size of these things, it's hard to believe they have the power, the runtime that they do, but their performance is extraordinary. This is the drill driver, we also have the impact driver. These products are now shipping here in August, and will again solidify and buttress our leadership position in subcompact. As I mentioned before, the MX series has been a disruptive event in the equipment market. Remembering back several years ago, we did say MX got off to a slower start than we planned because we couldn't go on job sites during the height of the virus and demonstrate directly to the user. That's changed now.  Now we're able to visit job sites, these products are highly demonstrable. And as I go to job sites and show people why these battery powered equipment products are so much safer and better to use and more quiet than gas or pneumatic or plugin tools, you don't have the electrocution risks, the plugin tools have. And the pneumatic and the gas stuff, in addition to the fumes, the noise is maddening. So, we solve all those issues with MX FUEL and this program will continue to grow as we move forward.  Beyond professional cordless, we are incredibly excited about our growing PACKOUT series. PACKOUT is our revolutionary system for mobile storage, for vehicular storage and for workshop storage. And literally, there's now a global cult like following for PACKOUT. PACKOUT is so much easier and better to use, to organize and transport tools versus competitive offerings. And the end user sees it â yes, we're priced at a premium, you can see that on our gross margins, and the sales of PACKOUT have been sensational.  We also are attacking a market that we think has immense potential, and that's safety equipment, jobsite safety, the BOLT helmet system with over 30 different bolt-on accessories is a revolutionary step in jobsite safety. No matter what particular end user we're talking about, whether it's a minor power utility worker, construction worker, nuclear power plant, maintenance team, we have the ability now for that user to customize their helmets in the corresponding bolt-on accessories. And we think this is going to be a monster business for us. We're actually manufacturing these products in the US with our state-of-the-art technology. And as we go forward, you'll be pleased to see the contribution that the safety equipment makes in terms of our total company.  Okay, let's shift gears and talk about the consumer arena. So, we have â if you divide the company into â you have MILWAUKEE which is professional industrial, 58% of the company. Then you have the other 42% of the company, which is DYI products, consumer products, DIY outdoor etc.  So these are the areas that have been hit the hardest by the macroeconomic challenges we read about every day in the news feeds. These are areas where the inventory piled up in retail in some markets, and so we have adjusted our plans going forward in terms of inventory, in terms of overhead structure, but what we have not done is back off in any way in terms of rolling out new exciting breakthrough disruptive products that will allow us to continue to enhance our leadership position.  Okay, let's start by talking about the RYOBI ONE+ cordless system. So, remembering back, we launched â the company launched RYOBI ONE+ in 1996. This product line, the ONE+ system has not â the battery interface has not changed since we launched the program. And because of that, we have achieved 42% household penetration in the US and that number is actually higher in Australia. 42% household penetration of RYOBI ONE+. So think about that. Almost one out of every two households in the US already have a RYOBI ONE+ system installed and use in the house. So, RYOBI ONE+ products that we launched now are pre sold to almost half the country. So, when these people walk into Home Depot, they're already predisposed to buy the new products we roll out in ONE+. The ONE+ system, and as I said, it's a very powerful system in the US. But also, it's number one in Canada, number one Australia, New Zealand, and it's got a very strong leadership position in Europe. So, we're now number one in the only DIY market that matters, which is cordless. We don't care about gas or plugin or pneumatic. Those are all products that will be extinct. We care about cordless, we are number one here. And that leadership position will continue here as we go forward.  And as I said, we launched the battery system of RYOBI in 1996. So way back when we first started the program, the battery that we designed will still work with the products we launch today. Now, we've evolved the battery. Used to be NiCad, used to be big and bulky, ugly, heavy. Now we have this new trapezoid design, which allows us to have the minimum weight and the minimum size. So, it's super compact. But still all the batteries work with all the tools that we've launched since 1996.  So if you think about it, there's no other power tool company that has been this loyal to their installed base. In fact, our competitors, all the competitors have changed their interface, their battery interface multiple times since 1996.  And in fact, we are now â because we've been so dedicated to perpetuating that same battery interface, not only are the global leaders in ONE+, but there really is no number two. The number two competitors are really regional and sometimes customer specific. RYOBI is the one global overarching system that has achieved number one.  And if you look at it, RYOBI ONE+ started as power tools. And we have 162 power tools, by the way. But there's 84 outdoor products and 21 floorcare and cleaning products in the system. And those numbers will double in three years. So we will continue to expand the program.  Now let's pivot a bit and look at outdoor. So, the RYOBI battery powered outdoor business, the RYOBI cordless outdoor business is also the number one brand in the world for battery powered outdoor. We have 84 products in the 18 volt ONE+ system and the 81 in the full size 40 volt system.  And so, because of this, if you look at the outdoor arena globally, we are number one in battery or cordless products, and that we will continue to grow our leadership position here as well.  So, as I said a moment ago, we have 84 RYOBI ONE+ products in outdoor. 84. And we have another 81 in the full size in the 40 volt system. Can you imagine? So, when you look at all this and you combine our WHISPER series, which is a revolutionary technology that we've inculcated throughout our outdoor products where it's applicable, and we're able to deliver outstanding performance runtime but with a lot less noise. And for the end user, this is a massive deal. We don't see any other company even mentioning the acoustic engineering required to achieve these breakthrough decibel reduction levels. And so, once again, we're far ahead of our competitors and this will only enhance our leadership position.  And on top of that, we are now rolling out these revolutionary new RYOBI joystick riders. These are zero turn riders that are so much easier to use than the products that have been out really over the last 50 years. The joystick changes the way an end user uses these products and we've launched these in June of this year. And although the price points are â we have units that are $4,000, $6,000 and $7,000 each and they're all selling. Even with the miserable weather conditions we have, they're selling because people are sick of gas and people don't like the current zero turn capabilities that they have on these riders from the past, whether they're gas or the few battery units that are out there today. We intend to be the global leader in battery powered riders, and we're well on our way to solidifying that position.  Okay, the final business mentioned is Floorcare and Cleaning. As I mentioned upfront, the floorcare business â vacuum cleaner business is one category that was really catalyzed by the COVID lockdown phase worldwide. And now that people are in the midst of COVID fatigue, people are traveling, people have already bought two and three vacuum cleaners per household, so the sales this year for floorcare have predictably come down. And the first half, the rate is 16.4%. And I expect the second half, we'll see the same kind of contraction in floorcare.  We won't go back to the 2019 levels in terms of sales, but we won't be at those peak levels that we saw last several years either. And that's okay because we are in the midst of rolling out, for the next several years, a series of blockbuster products for our HOOVER, VAX â and they are double brands â that will allow us to achieve growth without the benefit of a virus lockdown.  Also, the fastest growing brand of floorcare in the world today is called RYOBI. Why? We have 42% household penetration on RYOBI battery â ONE+ system. So that means those people are already pre-sold, they're predisposed to buy a vacuum cleaner that takes the same battery, as their drill or their lawnmower. So these RYOBI stick packs are selling like crazy. And these are premium priced. Their performance is amazing. And they because they utilize the same battery and charging system as people have in other products in the house, again, it's pre-sold. People walk in, when they look at brands of vacuum cleaners in a Home Depot or in a Bunnings and they see the RYOBI choice, we've been surprised how fast the adoption has happened here. We have great traction and intend to continue to expand our RYOBI line of floorcare.  Don't get us wrong, though, we also have with HOOVER and DIRT DEVIL and VAX a lot of potential as we go forward, and we will develop those brands as well.  So in summary, I couldn't be more proud of our team in the first half of an incredibly interesting, challenging 2022. We not only are managing the macro challenges that everybody faces, but we're doing it in a way Churchill will be proud because we see so much opportunity in the issues around the world today and we intend to harvest these opportunities and to disrupt the market and continue our path to achieving, maintaining, permanently commanding leadership position in power tools.  So thank you very much and we appreciate your support.
Q -:
Operator: Thank you for your participation. This concludes today's interim results announcement analyst and investor webcast. You may now disconnect.